Operator: Welcome to Nexstar Broadcasting Group’s 2008 second quarter conference call. (Operator Instructions) All statements and comments made by management during this conference other than statements of historical facts may be deemed forward-looking statements within the meaning of Section 21 of the Securities Act of 1933 and Section 21-A of the Securities and Exchange Act of 1934. The company’s future financial conditions and results of operation as well as forward-looking statements are subject to change. These forward-looking statements and comments made during this conference call are made only as of the date of today’s conference call. Management will also be discussing non-GAAP information during this call. In compliance with Regulation G, reconciliations of this non-GAAP information to GAAP measurements are included in today’s news announcements. The company does not undertake any obligation to update forward-looking statement reflective of changes in circumstances. At this time I would like to turn the conference call over to your host, Nexstar’s President and Chief Executive Office, Perry Sook.
Perry A. Sook: Matt Devine, our Chief Financial Officer, is here with me as usual this morning. I would like to thank all of you for joining us today as we discuss Nexstar’s second quarter 2008 operating results, and after the brief remarks that both Matt and I have prepared, we’ll open the phone lines to Q&A. During the second quarter, we continued to effectively execute our strategies for growth in the face of a difficult advertising market and the slowing economy. Nexstar’s record, I emphasize record, second quarter operating results included BCF and EBITDA that exceeded our guidance, revenue that was in line with our guidance range, and the results include strong year-over-year increases in political, eMedia, and retransmission consent revenues. Second quarter 2008 net revenue of $70.7 million included approximately $3.1 million of net political advertising revenue, up from $68.7 million of net revenue in last year’s second quarter which included approximately $1 million of net political ad revenue. Our television stations are performing well from an audience perspective, our sales teams are working aggressively to attract new advertisers to the medium, and we have demonstrated our skills in capturing outside shares of political advertising in our market. In addition, we are also making considerable progress in expanding our digital media presence and our round two retransmission agreement negotiations are certainly headed in the right direction. Given the current environment, we are focused on more aggressively controlling our cost while continuing to make strategic investments in the eMedia platform and completing our digital build-up. Furthermore we remain focused on our balance sheet and de-leveraging plan and we remain on track to end 2008 with a total debt leverage ratio of approximately 5.5 times. Now, let me review some of our Q2 highlights. Our new local direct billing totaled $3.7 million for the second quarter. Quarterly retransmission consent revenues were up 14% to $4.8 million or also ahead of Q1 ’08 levels. The eMedia revenue rose threefold to $2.6 million and is 30% ahead of Q1 ’08 levels. Year-to-date, we’ve generated over $4.6 million of eMedia revenue, and we remain on track to double our 2007 eMedia revenue which totaled $5.1 million. Free cash flow totaled $11.1 million in the second quarter of 2008 verses $9.6 million in the second quarter of 2007. Our top ten category billing decreased 6.8% with auto and fast food down 6.7 % and 11% respectively. Four of our top ten categories were up year-over-year with medical, telecom, and retail posting gains of about 1% and legal rising 7. 6%. During the quarter our automotive spending comprised of approximately 22% of our core advertising which is in line with the levels we achieved in Q1 of ‘08 and the second quarter of last year. With the continued growth on our eMedia revenues and retransmission consent, we’re making solid progress against our goal to derive in excess of 30% of the company’s EBITDA from new non traditional and high-margin revenue initiatives. As noted, our corporate and station-level personnel are exercising disciplined expense management. At the same time we continue to allocate resources to further development of our promising digital initiatives. In this regard last month we brought on board Yahoo veteran Todd Porch as Senior Vice President of eMedia. Todd is overseeing the company’s eMedia operations including our 28 local community web portals and our eMedia content, product, service, and sales teams while continuing to build our next layer of revenue drivers in areas such as internet related partnerships, third party distribution agreements which will extract even more value from our local content. After Matt’s financial review, I will come back and run through some of our growth drivers and strategies for continued success in 2009 and beyond, but for now let me turn the call over to Matt for additional details on our Q2 financial results.
Matthew E. Devine: I would like to review some of the key year-over-year Q2 line items on the company’s income statement and balance sheet. On income statement our total gross revenues came in at $79.2 million, up from $77.1 million in the year ago quarter. Net revenue as reported in our earnings release and as Perry mentioned came in at $70.7 million, up from $ 68.7 million a year ago. Operating expenses totaled $42.1 million in the quarter verses the year ago quarter of $41.9 million. Broadcast cash flow grew to $28.6 million compared with $26.8 million in the year ago quarter. EBITDA came in at $25 million even verses $23.6 million in Q2 of ‘07. Gross local revenues were $45.7 million verses $46 million in the year ago quarter. Gross national were down to $17.8 million verses $19.3 million in the year ago quarter. Gross political came in at $3.6 million verses $1.2 million last year. eMedia revenues again $2.6 million verses $900,000 in the year ago quarter. Cash retransmission revenues $3.5 million verses $2.9 million last year. Total retransmission revenues of $4.8 million in the quarter, up from $4.2million last year. And trade and barter was flat at $4.6 million in both second quarters of this year and last year. The company generated a 40.5% broadcast cash flow margin in the second quarter of ’08 compared to 39% even in the second quarter ’07. As Perry noted, the growth in our digital and political revenues overcame declines in our core and other revenue lines including network compensation. Nexstar’s second quarter ’08 cost overheads totaled $3.6 million and included $600,000 of non-cash employee stock option expense and this was consistent with last year’s quarter. Free cash flow as defined in this morning’s announcement again was $11.1 million verses $9.6 million in the year ago quarter, and the company incurred approximately $3.9 million of CapEx spending in the second quarter most of which is related to our HDTV build-out. The company’s quarterly positive net income of $3.9 million verses the second quarter of ’07’s net loss of $1.3 million is primarily due one, a $2 million increase in net revenues; two, a $730,000 reduction in operating expenses; three, an interest expense reduction of approximately $3 million; and all of these positive variances were offset by an increase of approximately $550,000 in our income tax expense. In spite of very challenging economic times you can see that the company is making real progress in managing both its P&L to cost containment and its balance sheet through deleveraging. As far as some balance sheet numbers go, cash on hand at June 30 ’08 was $15.6 million compared to $16.2 million at year-end ’07. Our outstanding bank debts totaled $354.9 million at June 30 compared with $356.7 million at December 31 of last year. Our 7% notes totaled $198.2 million at June 30 ’08. Total leverage at June 30, 2008, was 6.67 times. The October 2005 amended senior credit facility covenant provide for a total leverage covenant of 6-3/4% through to basically year-end. Our fully accreted 11-3/8% notes which totaled $130 million at March 31 ’08 and became cash pay effective April 1 of ’08 totaled $83.1 million as of June 30 of 08. On April 1 ’08 Nexstar redeemed approximately $46.9 million of the principle amount of these 11-3/8% notes thus ensuring that there would not be applicable high-yield discount obligations pursuant to the IRS code. The principle payment was funded with cash generated from operations and from borrowings under the company’s senior secured credit facility. And finally, our 12% senior subordinated PIK Notes which were issued on June 30 of ’08 amounted to $35 million. Thus total net debt was $655.6 million at June 30 of ’08 and that is down compared to $665 million at year-end ’07. I would like to reiterate that at year-end 2008 we are projecting total leverage excluding our $35 million of PIK Notes of approximately 5.5 times. Our guidance for the third quarter is net revenue of between $70.5 million and $72 million, and that compares very favorably with $64.5 million in last year’s third quarter. We expect our station operating expenses to come in somewhere between $43 and $44 million. We expect our corporate overhead to be in a range of $3.3 to $3.5 million, up slightly from $3.1 million last year. That concludes the financial review for the call and if there are modeling questions, I will be available in the office and we’ll address them specifically. I would like to now turn the call back over to Perry for some final remarks before Q&A.
Perry A. Sook: Before we go to the Q&A let me highlight the basis for company-specific optimism for the balance of 2008 and 2009. First, national political spending is pacing towards record levels for this election year. Given our geography including the battleground states of Pennsylvania, Indiana and, Missouri, coupled with several hardly contested statewide races in these stations and others, suffice it to say that we are really looking forward to the next 13 weeks from today. Second, our retransmission revenue stream continues to grow and we expect substantial increases on our per subscriber revenue in this renewal cycle which runs through the end of 2009. We are close to finalizing a significant retransmission agreement renewal that will recognize the evolving importance of locally produced video content while raising the bar for retransmission consent consideration on a per subscriber basis. We are confident that this trend will continue through our renewal cycle thus generating high-margin revenue growth from this channel and the remainder of this year in 2009 and in 2010. Third, our eMedia activities momentum and results are moving full steam ahead as strong usage trends, advertiser demand, and innovation on the part of our eMedia teams are positioning us well for continued growth. We have rolled out new features and functions including user-contributed video capabilities, auto classifieds, a new local search feature, custom micro sites, and expanded classifieds including jobs, real estates, and personals, and we’re working right now to improve the user experience and ease of use of our sites. We expect continued quarterly sequential growth in eMedia revenue in Q3 and Q4 of ’08 with total 2008 eMedia revenue growing a 100% from the initial $5.1 million we recorded in 2007. With the full-year run-rate of these new products and features and more to come in 2009, we expect similar growth from our projected 2008 levels. Finally, our corporate and station level personnel are and will continue to exercise disciplined expense management thereby offsetting the impact of soft national and local economies. Notwithstanding our current market valuation Nexstar in 2008 is consistently achieving record operating results and outperforming the industry by adhering to our core strategies for growth including building out our mid market platform producing leading local new both on air and online and developing new revenue streams. While the economy has emerged as a strong headwind for all businesses today, we are confident that Nexstar will continue to achieve record financial results in 2008 by attracting strong shares of political advertising in the second half of the year while further growing our retransmission revenue stream and focusing on extracting value from the convergence of technology, digital media, and traditional advertising. We expect that our ongoing approach to actively manage our station portfolio appointing leading local management teams, developing new revenue streams, and focusing on our balance sheet and capital structure will continue to serve investors well. In closing, thanks again for joining us and now let’s get to your Q&A to address specific areas of interest.
Operator: (Operator Instructions) Your first question comes from David Saber - Wachovia Capital Markets.
David Saber - Wachovia Capital Markets: A few questions; first of all the ad environment in back half of 2008 and into 2009, just got off one of your previous conference call and in there you were pretty bearish on the ad environment. Also, the M&A environment, I know that you guys have said that that you might be interested in selling some non-core market assets; just curious on your insight there. And then as far as the covenant, you guys feel pretty good about the rest of the year and into 2009 given the soft core advertising outlook. And finally, just if you could comment on your free cash flow priorities going forward.
Matthew E. Devine: Let me grab a couple of those items for you. As far as the covenants go, I think you can tell that as we reiterate on this call we expect that will be leveraged down to about 5.5 times by year-end. That would give us at least a full-term of comfort vis-à-vis our dead covenants. So we feel pretty good about that; we have seen all month of July and we are happy with what we are seeing there, and so we really don’t have any major concerns about covenant compliance. Free cash flow will continue to be utilized to build up our HDTV platform so that we are in compliance by February of ’09 and any excess free cash flow will continue to be growing at our outstanding debts. We envision getting below 5 turns sometime mid next year and so we always are focused on continuing deleveraging our balance sheet.
Perry A. Sook: And I will speak a little bit for the ad environment and the M&A environment. I would say that third quarter to us and both Brian Jones and Tim Busch have been in every one of our markets and face-to-face meetings building our third quarter forecast from the bottom up, and I would say it is more of the same of the first two quarters; we really don’t see any headline movement one way or the other. In fact, for July our local revenues on an internal reported basis were 1% ahead of the prior year and that’s not spectacular growth, but it’s not a calamity either. So we think that the guidance basically would provide for similar quarter revenue growth or lack thereof in the third quarter as to what we just reported for the second quarter with political and eMedia revenue being the drivers of the positive revenue growth in the quarter. So we don’t really see any change in the tone in the back half of the year than the first half of the year other than the virtual tsunami of political revenue that we would expect over the next 13 weeks with the election 13 weeks from today. As to the M&A environment, we would consider monetizing certain non-strategic assets and Matt has been running point on that process, but again you know the credit market is an impediment there, people getting financing or delivering committed financing and that would be an absolute requirement before we would commit to, cut one of the cattle from the herd if you will; so we’re going to be very careful there in terms of moving down the road only with people that can demonstrate committed financing. So the process is a little bit slow and more tedious in this environment than perhaps we would like.
Operator: Your next question comes from Edward Atorino - Benchmark Company.
Edward Atorino - The Benchmark Company: Again, as the previous caller said, there were some comments on the previous call; everybody know it’s a disaster; could you talk about some other categories, just sort of go down your top five of pluses and minuses, not much you can do about auto I guess. And what is auto, speaking of auto on a year-to-year basis?
Perry A. Sook: Sure auto in Q2 was down about 6.7% in all for us. I would tell you that we worked very hard on the local dealer side and that may be why by comparison our automotive results looks a little better than may be some others. We have seen a decrease in factory money from the national and regional shops, but again our automotive spending was down about 7% as we said.
Edward Atorino - The Benchmark Company: And that’s about 20% of your total?
Perry A. Sook: It was 22% as of our non-political revenues in the quarter. Fast food was down 11% and that has more to do with specific accounts moving in and out of network or spot and it’s that category that has been volatile because one account like Pizza Hut can move their money to network as they did in the quarter and that would affect us. So, paid programming was down a little bit as was the furniture category, medical and telecom were both up about a percentage. Departmental and retail stores for us was up 6% for the quarter and insurance was down double digits, attorneys was up about 7.5 %, and those are the top 10 categories for us. So, we have 4 up and 6 down, all in, you saw the kind of virtually flattish local revenue, there is no question that national revenue was down over the prior year ex political, and we see more of the same happening over the back half of the year with the exception of political revenue that will start to compound as we march closer to the election.
Edward Atorino - The Benchmark Company: Could you contrast the performance of local versus national?
Perry A. Sook: Gross local revenues in the quarter came in at $45.7 million versus $46 million in the year-ago quarter, so that’s down about 1%; and national came in at $17.8 million versus $19.3 million, so that’s down 8%. So, if you look at the core revenue, they were down a little under 3%, actually 2.75%.
Edward Atorino - The Benchmark Company: That’s actually not bad.
Perry A. Sook: That was not bad, but we like it when the arrow is going the other direction, but thanks we’ve got a good quarter.
Edward Atorino - The Benchmark Company: This business is pretty touch. The other question, there was a big article on Ad Age that the CPGs may be cutting numbers. They talked mostly about the magazine business; do you do a lot of CPG business and if you heard about any budget cuts in your markets from Colgate, P&G, and those guys?
Perry A. Sook: Again, packaged goods is a category for us, represents less than 2% of our total. Packaged goods is just a small piece of it. The other categories highlights for you in terms of non top ten categories, our ad billing was up almost half a million dollars in the quarter and that obviously doesn’t affect the North East or New York, but it sure affects Champaign and purely in our mid-west markets. Drug stores were up, the lotteries which is another in and out business, the lottery business was up over $400,000, and hard pressed radio cable satellite was up half a million dollars and a lot of that is tied to mandatory spending in some of our re-trans agreements. So, those are some of the categories where we did see signs of life in the second quarter.
Operator: Your next question comes from Tracy Young - JP Morgan.
Tracy Young - JP Morgan: How much are you expecting in political for third quarter and have you seen any issue advertising, and what do you expect for the full year?
Matthew E. Devine : We haven’t given specific political guidance for the third quarter, but let me give you the breakdown of just the political revenue on the books for the year as of yesterday afternoon. Approximately 30% of that revenue was issue advertising, 35% was tied to the Presidential election, about 19 % for Congress, both Senate and house representative races that are active, and about 16% of our political revenue was tied to statewide and local offices. Again, in 2004, just as a comparison, we finished with about 33% of our revenue coming from issue, 18% Presidential, 25% congressional, and about 24% state and local; and obviously the revenue is as we said we go from month to month through the first quarter and each month we’ll double the month prior and October will be four times all of that. So, I think we feel comfortable with our guidance of the $30 million number for net political for the year, and on all accounts the money will continue to flow in. We are probably booking on the order of half the three-quarters of a million dollars a week right now and that will continue to grow throughout the quarter and obviously multiply by a factor in the month of October.
Operator: Our next question comes from Unknown Analyst.
Unknown Analyst: Can you suggest what the revenue in EBITDAR is for the quarter from the KTVE acquisition; how much of revenue or cash flow does that represent?
Perry A. Sook: KTVE is immaterial. In the quarter it threw off approximately $200,000 of broadcast cash flow and since KTVE is married off to KARD in that market place it’s difficult to dissect in a rocky incremental revenue off that would be, but I would say if it generated about $250,000 of broadcast cash flow in the quarter, you could probably chop a 40% margin against that to calculate the incremental revenue.
Operator: Mr. Sook, I’ll turn the call back to you for closing remarks.
Perry A. Sook: Thank you all for joining us today for our conference call. As Matt mentioned, if there are specific modeling questions, we have areas of interest that do not get answered on the call, please feel free to give him a call and we look forward to talking to you all again in three months’ time to report our third quarter operating results. Thanks again.